Operator: Greetings and welcome to the Juniper Networks Second Quarter 2009 Earnings Results Conference Call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator instructions) It is now my pleasure to introduce your host Kathleen Bela, Vice President, Investor Relations. Thank you. You may begin.
Kathleen Bela: Thank you, operator. Good afternoon and thank you for joining us today. Here today are Kevin Johnson, Chief Executive Officer and Robyn Denholm, Chief Financial Officer. Couple of housekeeping items before we begin. First as a reminder there is a slide deck that accompanies today's conference call. To access the slide please go to our Web site at juniper.net and click on the investor relations section. Also this call will be available to download as a pod cast. For details you may also visit the IR section of our Website. With that I would like to remind everyone that statements made during this call concerning Juniper's business outlook, future financial operating results and overall future prospects are forward-looking statements that involve a number of risks and uncertainties. Actual results could differ materially from those anticipated in these forward-looking statements as a result of certain factors. Including economic conditions, generally or in the networking industry, changes in overall technology spending, the network capacity requirements of service providers, the timing of orders and shipments, manufacturing and supply chain constraints, variation in the mix of products sold, customer perceptions and acceptance of our products, litigation and other factors listed in our most recent report on Form 10-Q filed with the SEC. All statements made during this call are made only as of today. Juniper undertakes no obligation to update the information in this conference call in the event, facts or circumstances change after the date of this call. In discussing the financial results today, Robin will first present results on a GAAP basis and for purposes of today's discussion he will also review non-GAAP results. For important commentary on why the management team consider non-GAAP information a useful review of the company's financial results please consult our 8K filed this afternoon. For the detailed reconciliation between GAAP and non-GAAP results please see today's press release. In general non-GAAP results exclude certain nonrecurring charges such as amortization and purchase intangibles other acquisition related charges and expenses related to stock-based compensation. In today's call, Robyn will also be providing forward looking guidance. As a reminder guidance is provided on a non-GAAP basis. All guidance is forward-looking and actual results may vary for the reasons I noted earlier. A GAAP EPS target is not accessible on a forward-looking basis due to the high variability and no visibility with respect to the charges which are excluded from the non-GAAP business estimate today. Please note that today's call is scheduled to last for one hour and please limit your questions to one per firm. With that, I will turn the call over to Kevin.
Kevin Johnson: Good afternoon. And thank you for joining us. The operating results we're reporting today are a result of disciplined execution against a clear set of principles that we defined at the beginning of the year. These principles were established to guide us as we navigate this global macro economic downturn. As a reminder the principles include assume challenging economic conditions, allocate resources effectively and reduce costs, maintain agility in position for the upturn, and preserve balance sheet strength. Now we continue to balance the economic realities of the near term with the focus on long term shareholder value creation. But things we can control, such as operating expenses. We have been very disciplined in our cost reductions while at the same time funding important work in R&D and customer support. We remain committed to that strategy. Customers have now had multiple quarters to assess the impact of this downturn on their business and they have adjusted as appropriate. Our flow of orders this quarter was not as back-end loaded as it was last quarter, which supports the view that the environment continues to stabilize. Our Q2 revenue of $786 million represents a 3% quarter-on-quarter growth. In the service provider segment, visibility to projects is improving, yet it is still very challenging to accurately predict timing of purchases. Visibility to projects not necessarily translate to visibility in timing of orders. Overall though long term demand drivers remain in tact as internet traffic continues to grow. Our service provider segment declined slightly quarter on quarter by about 1%. My sense is that we may be bouncing along the bottom in this segment yet our visibility into the timing of our recovery is limited. Therefore, we remain cautious, while focusing on our product road map and positioning ourselves for an eventual uptick in capital spending. Our opportunity pipeline in the enterprise segment is growing due to our entry into the switch market. We are also seeing improvement in the pattern of deal closure which suggests the visibility is improving. IT budgets are still constrained but clearly there are encouraging signs of demand for our enterprise value proposition. Those signs are reflected in our 12% quarter-on-quarter growth in the Enterprise segment. However, from a macro economic perspective, IT spending patterns will vary by industry and recovery will take some time. Our product portfolio along with a growing set of partners, we feel we're well positioned to outgrow the segment through share gains. Overall, long term growth fundamentals for high performance networking remain in tact. The economic environment continues to stabilize. There are areas where visibility is improving, yet at the same time we realize that the macro economic recovery will take time. Therefore, we will continue to maintain agility as we work through the economic situation on a quarter-by-quarter basis. Now let me share just a brief perspective on how our strategy combined with an execution focus has helped us improve our portfolio of products, expand our customer base and strengthen our partnerships. We are a leader in high performance networking and our investment in R&D enables us to have a compelling differentiated value proposition in the market. Through this downturn we have concentrated on delivering against our product road map as was evidenced in Q2. In the area of switching we expanded the family of EX switches with the EX8216 and the EX2500. The EX product family was introduced a year ago and it is now at an annual run rate of over $150 million and growing. We continue to diversify our customer base with key wins that include New York Stock Exchange, major financial services institutions, and large retailers including 7-11. These wins are also translating to satisfied customers and industry recognition. For example, our work with the U.S. Department of Energy's, ESnet4 which is a research and education network built on Juniper technology won the highly coveted excellence.gov award from the American Council for Technology and Industry Advisory Council. In the area of routing we continue to innovate in ways that help advance the scale, performance, security and reliability factors that define high performance networking. In the quarter we expanded our router relationships with several customers including Comcast and we were recognized at Enpothi Tokyo [ph] with a special award for the industry's first 100 Gig Ethernet line card. We see an increased number of third party solutions built on JUNOS. One example is an expanded set of voice services with our integrated multiservice gateway and a third party embedded Performance Monitor, Telchemy. This solution integrates Telchemy monitoring technology with JUNOS software and MX routers to attract and trouble shoot a broad array of IP services including voice and video. We introduced four new models of the SRX Services Gateway this quarter. These new models extend the SRX family which uniquely integrates routing, switching and security services into a single system. Keep in mind we introduced the SRX family late last year and this family of products is already approaching an annual run rate of $50 million and growing. These products all run JUNOS and are enabling a compelling and differentiated value proposition. This is translating to growth opportunities for Juniper Networks. As a pure plan high-performance networking that embraces partners we strengthened our customer value proposition with strategic partnerships in the market. This quarter we announced an expansion of our worldwide partnership with Nokia Siemens networks with a focus on carrier Ethernet transport solutions built on JUNOS. We're combining our MX Ethernet routers with NSN Ethernet switches and network management capabilities we're able to enable a JUNOS solution that delivers a fully interoperable centrally managed end to end carrier Ethernet solution for mobile backoff, business services and residential broadband network. We also announced that NSN is building an optical line card for our routers. These are just two examples of how strategic partnerships can enable a broader set of solutions for our customers. We continue to expand our partnership with IBM. Yesterday IBM announced that they would be selling an IBM branded version of our EX switching and MX routing products, all running on our JUNOS software platform as part of their data center networking portfolio. Many partners including NSN are building services on JUNOS. IBM will be shipping IBM branded systems run in JUNOS. We have an expanded product portfolio running JUNOS. JUNOS is a well architected programmable network operating system and this is a very important element of our strategy. Our market presence with our J-Partner continues to grow. The channel community is showing increased confidence in Juniper's high performance networking solutions and our commitment to them. I hope this gives you some insight into our operating approach and some of the observations from the quarter. I just want to take a moment and share a couple of comments on our capital structure and cash deployment strategy. This is not a new strategy. We want to share some principles with you as a way to be more transparent, and just reinforce our approach. I consider Juniper's strong balance sheet one of our core assets. Our balance sheet provides us with flexibility to run the business and sends an important signal of stability to our customers. I am also mindful of the fact that capital structure decisions are one of the most important responsibilities we have as a leadership team. In just a moment Robyn will walk you through the key principles in more detail that define our philosophy with respect to managing our cash and preserving a strong balance sheet. But let me outline the highlights. One, we will preserve sufficient levels of cash to run our business. Two, we will maintain cash to remain flexible to pursue growth opportunities in the market. And lastly, and importantly, we intend to return cash to shareholders that is in excess of required levels to manage and grow the company. Now, in summary I would like to reiterate some key takeaways for the quarters. First, we continue to operate in the challenging economic climate and the principles that have guided through this downturn remain unchanged. Second, stability continues to improve. And there are some areas where visibility to projects is improved, yet our ability to predict the timing of orders still remains somewhat limited. Finally, we will continue to remain cautious in our operating approach, with a clear strategy to position ourselves to drive top line growth, while expanding operating margins as the economic situation recovers. Let me now hand over to Robyn for a more detailed comments on the financial results and some guidance for Q3. Robyn?
Robyn Denholm: Thank you, Kevin, and good afternoon everyone. Our second quarter financial results reflect solid execution in a market that remains challenging due to the global economic recession. We continue to make good progress in aligning our total expenses to current revenue opportunities, and as a result, we delivered improved operating margins and good free cash flows for the quarter. In today's call, I will focus on the following four areas. Firstly, I will review the financial results for the quarter. Second, I will provide additional insight into our cost reduction and operational excellence initiatives. Then I will discuss our capital structure and cash deployment strategy. And finally I will conclude with our guidance for the third quarter. Now, on to a discussion of the numbers. On a GAAP basis total revenue for the second quarter was $786 million, which was slightly better than the top end of our guidance for the quarter. This represents a 3% increase sequentially and an 11% decline from the prior year second quarter. Juniper reported GAAP diluted earnings per share of $0.03 for the second quarter compared to a loss of $0.01 in the first quarter and compared to earnings of $0.22 in the prior year second quarter. GAAP net income includes a nonrecurring income tax charge of $52.1 million or $0.10 per diluted share related to a change in the tax treatment of stock-based compensation in R&D cost sharing arrangements. This charge was due to a Federal Appellate Court ruling in the Zyling [ph] case in the second quarter of 2009. GAAP net income also includes restructuring charges of $7.5 million or $0.01 per diluted share. Non-GAAP revenue was $786 million and non-GAAP earnings per diluted share were $0.19, an improvement of $0.02 compared to the first quarter. The product book to bill was greater than one for the quarter. I will focus the rest of my earnings commentary on revenue, gross margin and operating expenses. So now turning to revenue, I will give you color on geography, business segments and markets. In the America, revenue increased both on a sequential and on a year-over-year basis. This growth was driven by our continued expansion in the Enterprise market in the U.S. EMEA revenue was up slightly on a sequential basis due to the growth in service provider. As expected, APAC was down sequentially due primarily to a seasonally weaker quarter in Japan. Excluding Japan, APAC was up quarter over quarter driven by good growth in China. The resulting geographic mix of total revenue for the quarter was Americas at approximately 50%, EMEA was at 29% and APAC was at 21% of total revenue. On a segment basis, total IPG revenue of $584 million was up 3% sequentially and down 13% on a year-over-year basis. We saw improved performance sequentially in MX and E products offset by declines in T&M products. IPG revenue includes almost $43 million of EX switch revenue. Total SOT revenue of $202 million, was up 3% sequentially and down 2% on a year-over-year basis. We saw good sequential revenue growth from SSL VPN and high end firewall and SLT revenue reflects $11 million of our recently launched SRX products. Overall, we are pleased with the ongoing return on investment of our R&D dollars as evidenced by the strong contributions of new products including EX, MX, and SRX product lines. Looking more closely at the markets we address, service provider revenue was 65%, and Enterprise revenue was 35% of total revenue. Service provider revenue was down slightly and Enterprise revenue was up 12% sequentially. We believe our success in the Enterprise reflects both solid market share gain momentum without recently introduced switch products as well as our continued focus on selling our full portfolio of networking solutions into the Enterprise. There was no single customer that represented 10% of revenue for the quarter. On a non-GAAP basis, total gross margins for the quarter were 64.3% of revenue. Product gross margins were 66.2% of revenue, down from 67.6% in the first quarter. This was primarily due to the product mix and to a lesser extent pricing. This was partially offset by cost reductions. During the quarter we saw a higher proportion of Edge product revenue namely E and MX versus Core or T products and a higher mix of EX as a percentage of the total revenue. We also saw a higher ratio of chassis versus PIX or line card mix ratio. Services gross margins were 57.9% of revenue, down from 58.8% in the first quarter. This was primarily due to additional spare parts purchases for our Enterprise business, which is experiencing growth in both new product introductions and increased business in emerging markets. While gross margins will always tend to very based on product and geographic mix we continue to work on our cost reduction initiatives and supply chain optimization. Therefore, our gross margin midterm range of 65% to 67% remains unchanged. Moving on to our operating expense discussion, our continuing focus on reducing operating expenses resulted in good operating margin performance for the quarter. I am pleased with the team support and discipline in continuing to manage expenses thoughtfully during this period of economic uncertainty. As a reminder our intent is to deliver on the commitment we made at our financial analysts meeting in late February. Specifically, that in an environment where revenue is down year-over-year we will manage our full year operating expenses flat to down while we maintain our investment in our innovation road map. Non-GAAP operating expenses totaled $363 million or 46.2% of revenue. Overall, relative to the first quarter, operating expenses decreased $13 million primarily as a result of our previously announced mandatory shutdowns as well as the timing of new prototype build, reduced expenses relating to employee related benefits and other expense controls. R&D expenses were approximately $169 million or 21.5% of revenue, a slight decrease of $2 million compared to the first quarter. Sales and marketing expenses totaled $160 million or 20.4% of revenue and $11 million decrease sequentially. General and administrative expenses totaled $35 million or 4.4% of revenue. That is flat with the first quarter. Non-GAAP operating profit for the quarter was $142 million, resulting in an operating margin of 18.1% of revenue. This was 1.7 points higher than sequentially. Looking at our operating margins by segment, IPG operating margin was 20.5%, up slightly from the first quarter. And SLT operating margin was 10.9%, up 4.3 points from the first quarter. This good performance is due to a slight revenue increase, good cost controls and our continued success in portfolio selling into the Enterprise. Turning to the bottom line, Juniper posted non-GAAP net income of $104 million for the quarter, up 13% sequentially and a decrease of 34% from the year ago result. Non-GAAP net other income and expense was $3 million for the quarter, up $1 million sequentially. The non-GAAP tax rate for the quarter was 28.4%. The rate is slightly higher than anticipated primarily due to the change in our geographic distribution of revenue and therefore taxable income. Non-GAAP diluted earnings per share were $0.19 in the second quarter, up $0.02 sequentially and down $0.09 from the prior year figure of $0.28. Many of you have asked about our cost structure specifically what elements should be considered discretionary reductions in the light of the current economic environment. And what elements reflect the same sustained reductions in OpEx. Let me walk you through this. As our results show we are continuing to focus on our reducing OpEx in a thoughtful and prudent manner. We have managed to slow resources to R&D in support of the investments that we believe continue to strengthen our competitive position in the market. Our expense reduction actions include both variable and structural measures. Variable measures include executive salary reductions, suspended merit increases, reductions in bonuses, commissions, and other variable compensation, and mandatory shutdown days. When year-over-year revenue growth resume we will manage the increase in these variable expenses very carefully. Structural measures on the other hand are part of our efforts to build efficiencies into our business and will therefore reflect the same savings to our cost structure. These include restructuring of our real estate portfolio, implementation of a new corporate wide mobility policy, supply chain efficiencies including geographic distribution, focus on adding key engineering talent in low-cost regions, reduction in outside services and contractors, changes to meetings and event practices resulting in lower overall travel expenses. In summary, we have taken cost reduction measures that are both variable with revenue and (inaudible) structural. We will be as disciplined in adding costs as revenue growth returns as we have been in taking costs out. We will also be very focused on balancing the long-term investments that we need to make in order to fund our product road map as well as operating as leanly and efficiently as we can as a company. Turning to the balance sheet as of June 30 we ended the second quarter with nearly $2.4 billion in cash, cash equivalents and short-term and long-term investments. This balance was up $91 million from the prior quarter. We generated good cash flow from operations in the quarter of approximately $149 million, down from $164 million in the first quarter. During the quarter we repurchased approximately 2.2 million shares at an average price of $22.73 per share or approximately $50 million worth. Our weighted average shares outstanding for the second quarter were approximately 533 million shares on a diluted non-GAAP basis, roughly flat with the prior quarter. CapEx for the quarter totaled $45 million and depreciation and amortization was $38 million. DSOs increased to 49 days from 43 reported in the first quarter. This increase is the result of timing of shipments in the quarter and the timing of cash receipts from our partners. Although DSO increased quarter over quarter, we are satisfied with the health of our accounts receivable balances and as market conditions continue to stabilize we expect to return to our typical range of 35 days to 45 days. Deferred revenue increase to $649 million, up from the $612 million reported at the end of the first quarter. Sequentially, product deferred revenue was up 21% or approximately $31 million. And services deferred revenue increased by 1% or approximately $5 million. Year-over-year, our total deferred revenue balance increased by a healthy $56 million or 9%. At June 30, 2009, Juniper had 7,020 employees, a net increase of 45 sequentially. These additions were in R&D and in customer service, areas that we consider indicators of the long-term health of our company. We are continuing with our targeted reductions and rebalancing across our work force. The geographic distribution of our total headcount is 59% in the Americas, 24% in India and China and 11% in AMEA and 6% in the rest of Asia-Pacific. This represents a head count shift moving into lower cost regions, with a year-over-year increase of 2 percentage points of the total in India and China. I also want to spend a few moments discussing the principles that guide our cash deployment and capital structure strategy. As we have noted in the past, more than 50% of our worldwide cash and investments are held outside of the US. Given the profile of our revenue and our operating expenses and our ongoing stock repurchase program, we are growing our non-US cash balance faster than our U.S. balance. We manage our cash and investments prudently to support our strategic goals based on the following three principles We maintain enough cash to ensure operating liquidity and to cover contingencies; we maintain financial flexibility to pursue growth opportunities both organic and inorganic which meet both of our strategic and our financial rationale; cash that we generate that is in excess of our requirements according to these principles, we will continue to distribute back to our shareholders. Now let's turn to our guidance. As a reminder, guidance is provided on a non-GAAP basis, except for revenue and share count. As Kevin noted, the market continues to stabilize, but we still have limited visibility to customers or orders. We therefore expect the third quarter revenue to be roughly flat with the second quarter. And we could see a revenue range of $717 million to $805 million. Gross margins for the third quarter are expected to trend up slightly and be within our midterm guidance range of 65% to 67%. We will continue to focus on prudent management of our operating expenses while also ensuring we meet our innovation road map. In support of that we will incur slight additional expenses associated with our new prototype build. Assuming flat revenues we expect total operating expenses for the September quarter to be flat, to slightly up. Again, assuming flat revenue, we would expect Q3 operating margins to be flat, to slightly up, compared to our Q2 results. Given our revenue range for the quarter, we expect Q3 non-GAAP EPS to range between $0.19 to $0.21. This is assuming a tax rate of 28.5% and a share count approximately flat with the current quarter of 533 million shares. In summary, we will continue to manage our cost structure thoughtfully while ensuring we're investing in our new product initiatives to prepare us for the resumption of revenue growth. Operator we would now like to open the call up for questions.
Operator: (Operator instructions) The first question is from Jeff Evenson with Sanford Bernstein. Please go ahead.
Jeff Evenson – Sanford Bernstein: One of the things I was surprised about in the quarter is that your Edge sales increased relative to your core sales. Last quarter you guys talked about I think quite reasonably that as bandwidth grows people tend to keep the core more in line. Wondering if you could give us some color on what happened.
Kevin Johnson: Well, as I mentioned we have got improving visibility to projects and the work that we're doing but it's been difficult to predict the sort of the flow of orders on a quarterly basis. So I attribute it more to that. I think clearly as networks are running hotter demand for internet traffic continues to grow. More users consuming more bandwidth on the internet, those trends continue. And every customer is in a different situation and this is sort of just the flow of orders that we saw this quarter.
Jeff Evenson – Sanford Bernstein: Thanks.
Operator: The next question is from Paul Silverstein with Credit Suisse. Please state your question.
Paul Silverstein – Credit Suisse: Robyn, can we get a little bit more color on the gross margin pulled down during the quarter. I think you mentioned that some of it was competition pricing related and there were some other factors. Can you just go a little more if you could quantify it and maybe give us a little bit more insight in terms of where the pressure is coming from in terms of pricing?
Robyn Denholm: Yes, Paul. So intensive gross margins for the quarter as I mentioned in the prepared script, in any one quarter the overall proportion of services versus product, actually has an impact on the total gross margins. Also, in terms of mix. So, we talked about our product mix including chassis versus line kazal [ph] pix. So that obviously has a single biggest impact on the quarter in terms of the overall product mix. And then in terms of pricing we actually did see some pricing and we said that it was to a lesser extent than it was mix in the quarter. And then on the services side, we also saw a reduction in the gross margin there quarter over quarter due to the expanding business on the enterprise side and our need to purchase more spare parts. So that was sort of the three key elements there.
Paul Silverstein – Credit Suisse: Robyn, so in order to the Chassis versus PIX then the product mix, then pricing, and then services?
Robyn Denholm: Yes, I think overall the gross margin services versus product revenue split was a factor last quarter in Q1. It's also a factor this quarter. And then if you drill down into product, it's overall product mix including the Chassis versus PIX, yes.
Paul Silverstein – Credit Suisse: Alright. In terms of the revenue guidance, Kevin, how much of this is being conservative on your part, and being prudent and how much of it is a reflection of just, as you said, the improve visibility isn't yet translating into orders.
Kevin Johnson: Well, let me talk about it from the two segment perspectives. And I will start with the Enterprise segment. On the Enterprise segment, we see a growing pipeline of opportunity. And in this last quarter, our predictability on closing of that pipeline improved. So I feel like we see the growth opportunity on the Enterprise side and visibility is as improved over last quarter on the Enterprise side. On the service provider side, we are seeing improved visibility to the projects and just anecdotally that, that comes across as our sales teams are seeing more RFPs, there is more RFP activity and that's an indication of the priorities that our customers have. But by the same token we have not been able to be as clear about the timing of these orders. And so as a result you look and say, hey we're kind of in my view in the service provider side bouncing on the bottom right now. And the view is there will be an uptick it's just a question of when. And therefore in terms of looking at this quarter, we have guided to where we think within a range that we think look there is some upside, there is a little downside but the fact is, I do believe looking forward, at some point, there is an uptick but we just without the visibility of predicting the timing of those orders it's difficult to then build that in.
Paul Silverstein – Credit Suisse: And Kevin does that translate so you would expect continued improvement in Enterprise and flattish in obviously below flat from a sequential basis and the service provider business, can you break that down?
Kevin Johnson: Well, we don't break down guidance between by segment, but the comments that I made about, I think IT spending in the Enterprise is still constrained and I think it's going to be a long, slow recovery. However, we're new entrant in the switch market. Our value proposition is resonating. The pipeline is growing and so I think we can outgrow the IT spend recovery in the Enterprise and there is perhaps more variable than on what would happen in the service provider side.
Operator: The next question is from Jeff Kvaal with Barclays Bank. Please go ahead with your question.
Jeff Kvaal – Barclays Bank: Yes, Kevin, following on to the team it seems though visibility is improving a little bit and your deferred revenue obviously up very, very nicely and yet the flattish guidance. Should we take that I mean there is an uptick in your mind coming it's just that you can't put it in stone or coming in the September quarter?
Kevin Johnson: I think clearly in any economic downturn at some point you hope there is a recovery and that recovery is going to come in the future and I think that trying to predict that in a particular individual quarter is a very difficult thing. And so I think we're being very thoughtful in looking at the overall macro economic situation and consistent with the principles that we outlined at the beginning of the year, we're going to continue to assume that we're operating in a challenging economic period until we see evidence otherwise which would be represented in actually seeing the deal, the deal flow and the closure rate improve.
Jeff Kvaal – Barclays Bank: Okay so the range of the guidance then was established using assumption similar to the ones you used in the June quarter.
Kevin Johnson: That's correct. That's why we shared the principles with you and it's the principles plus additional insight that we shared relative to improved visibility of projects yet, limited visibility on timing of orders, and on the Enterprise side a growing pipeline and improved predictability of close rates. So the Enterprise side is perhaps a little bit more predictable than little more visibility than we have in timing of the orders on the service provider side and that's all factored into that guidance.
Jeff Kvaal – Barclays Bank: Great. And then Robyn, I was wondering if you could comment a little bit about where you would like to be back at your 25% target operating margin, what revenue level? I think, in terms of this quarter, we saw a good sequential increase in our operating margins. We're very focused on that. And I think the 1.7 points of improved operating margin quarter over quarter with just a slight 3% increase in revenue, I think is a good indicator of that. And we are continuing to work on our cost structure as we have talked about and in terms of the prepared remarks I went through the fact that some of those cost reductions that we have done are structural. So we will continue to get good benefit of that. So we are committed to the 25% operating margins or higher, we obviously need higher revenue growth than 3% to do that, but we are continuing to work on the cost structure as well.
Operator: The next question is from Nikos Theodosopoulos with UBS. Please go ahead with your question.
Nikos Theodosopoulos – UBS: Thank you. I had a question on the IBM relationship. I guess can you give some background on why Juniper decided to move the IBM relationship to an OEM rather than the existing resale relationship that's been there. I think it's the first OEM relationship the company has had. I'm trying to understand the motivation behind it. Is it a desire of both companies, one of the companies, is it a reflection on ongoing investment in the channel and a way to better penetrate the Enterprise market and how will you differentiate within IBM between Cisco and Brocade?
Kevin Johnson: Thanks for your question, Nikos. I guess I commented look strategically for us to scale in the Enterprise, we're going to have to build more routes to market. And the IBM sales force and our partnership with IBM clearly is one of those routes to market. Being able to provide an IBM branded version of the switch and router just reduces friction or barriers for that sales force to sell those products. So clearly this is a strategy that we believe enables our customers to be able to have the choice and flexibility and for us to have the ability for the IBM sales force to sell in a friction-free way a solution that involves a set of products based on Juniper Networks. So I think it's a good thing for Juniper, I think it is good for IBM and I think it is good for customers.
Operator: The next question is from Richard Gardner with Citigroup. Please state your question.
Richard Gardner – Citigroup: Okay, thank you. Kevin and Robyn, obviously the quarter was very back-end loaded given the significant increase in AR. I was just wondering if you would be willing to elaborate on the reasons for that a little bit, the dynamics. Was it anything unusual or simply just the lumpiness in the order patterns that you referred to in your prepared comments? Thank you.
Kevin Johnson: Yes, thanks for your question. Let me just start and I will hand over to Robyn. I want to differentiate. The order flow was less back-end loaded this quarter than it was last quarter, but shipments as you point out are more related to the DSO. So then let me hand over to Robyn on that.
Robyn Denholm: That's exactly right. Two things that influenced our DSO: The first was the timing of shipments and obviously, if that comes after a certain week then is not due for collection in the quarter and then the other was the timing of our cash receipts from some of our partners which actually fell outside of the quarter and we collected them in July. So they were the two effects. And as Kevin said the order volume was less back-end loaded in Q2 than Q1 which I think is the important factor.
Operator: The next question is from Mark Sue with RBC Capital Markets. Please state your question.
Mark Sue – RBC Capital Markets: Kevin, if the Enterprise pipeline is better and you're gaining share why would that change in one quarter, implying that the service provider segment will decrease sequentially in a quarter when most carriers are reporting a sequential increase in CapEx. Some help there? And also Robyn when do we see a reversal in this negative correlation between the success in the Enterprise and the impact on product gross margins.
Kevin Johnson: Thanks for your questions, Mark. I will take the first one and then hand over to Robyn. Yes, look this quarter a 12% quarter-on-quarter growth of Enterprise was certainly a significant sequential growth and when we look at that pipeline and when we look at the opportunities we have going into the third quarter, sometimes there is some differences geographically in Europe, for example, most of the month of August is holiday, and so there are some factors that come into play there, but I think what we tried to do in our guidance is balance the reality of what we have visibility to with the recognition that there is still some variability in timing of spend and yet we're going to continue consistent with our principles continue to manage assuming challenging economic conditions and if we have signs that signal otherwise, then that's a positive thing. Robyn, do you want to take the second piece?
Robyn Denholm: Yes, Mark, in terms of the operating margins, the operating margins for our SLT business which obviously is primarily sold into the Enterprise customers was actually up sequentially 4.3 points from the first quarter. So I think our continued success in the Enterprise is actually positive in terms of the operating margin, outcome for the quarter. In terms of the product gross margin, we did talk about there being mix change and we pointed out some differences on the IPG products in terms of chassis versus PIX in the IPG products and the product mix there.
Operator: The next question is from Tal Liani with Bank of America Merrill Lynch. Please go ahead with your question.
Tal Liani – Bank of America/Merrill Lynch: Hello. I have three quick questions. First, you expect gross margin to go back to the 65% or better, next quarter, does it mean that it is better mix or is it because of cost reductions? The second one is, on your IBM sales because it is an OEM agreement does it mean you have lower margin level than if you would have been selling directly, if you can explain the relationships there of margins. And the last point is just a general question about your appetite for M&A. You're active in data centers now, you won some major deals in New York for data centers and the question is, whether you need to expand through acquisitions or whether you have any appetite to expand through acquisition into space? Thanks.
Kevin Johnson: Thanks for your questions. I will have Robyn take the first two and I will take the third one.
Robyn Denholm: Yes, so Tal, in terms of the gross margin we did say that we expect it to increase slightly, to the low end of the range in terms of the 65% for the third quarter. And that will be a combination of cost reductions. We obviously continue to work on our cost reductions quarter in, quarter out both in terms of the material costs then in terms of the ongoing supply chain. We know that our mix varies each quarter depending on the different types of orders that come in. So we said that we guided up assuming a certain mix of products. So in terms of the overall IBM OEM relationship, as Kevin said, that's an expansion of our existing partnership with them. We don't expect there to be an impact on gross margins from that relationship. And given that it is primarily focused on a route to market for us in terms of the Enterprise, we expect that over time that will help us reduce that or increase our total operating margins.
Kevin Johnson: Yes, let me take the third question you asked I think related to M&A. We believe this is an interesting time and it's important for us to keep our strategic options open. We're clear that our primary value creation activities through organic R&D, but we will consider targeted M&A where it makes financial sense and strategic sense. But we will reinforce our primary value creation vehicle is through organic R&D.
Operator: The next question is from Simona Jankowski with Goldman Sachs. Please go ahead.
Simona Jankowski – Goldman Sachs: Hi, thank you very much. Just first in terms of the strength in the quarter relative to your original expectations, is it fair to say from your comments that it seems like most of that came from the Americas and particularly from the Enterprise segment. And then just secondly during the quarter we had the SCOE standard ratified and we now have some of the converged solutions out there shipping. I believe your stratus project probably going to have something similar but maybe a couple years out so just curious if that changes any way your go to market approach or any kind of strategic discussions.
Kevin Johnson: Yes, thanks for the question, Simona. Do you want to take the first one, question about the geographic mix?
Simona Jankowski – Goldman Sachs: Yes, so in terms of the area that came in stronger in terms of the overall revenue, it was in the Enterprise and yes, the U.S. actually did quite nicely in terms of revenue in the Enterprise for the quarter.
Kevin Johnson: Yes, on your second question about routes to market as we look forward, I think clearly we are working to generate awareness and demand for our products in the Enterprise and we do that directly. So wins like the New York Stock Exchange, certainly our team in the field played a significant role in helping secure that win and establish that as a significant architectural design win. We also believe that to really get the scale and the Enterprise, it's going to be through our work with strategic partners. And so certainly the relationship with IBM is one example, but the work that we're doing with the J-Partners also reinforces that and I think as we're coming out with more products in the Enterprise, you mentioned the stratus project is one example, we're going to leverage that infrastructure capability that we're building on routes to market in the Enterprise.
Operator: The next question is from Simon Leopold with Morgan Keegan. Please state your question.
Simon Leopold – Morgan Keegan: Thank you. Really two things I want to check on, one is just to follow up on the IBM OEM relationship, is there some guidance you could give us to help understand the sizing of the opportunity, how big it is, how incremental it might be? Particularly given that you had a partnership I would like to understand some range. Whatever you can shed some light on as to how you're thinking about it. And then the second question is following up on Robyn's discussion about managing your operating expenses. I would like to get a sense of how the bonus accruals might come back once we do see sales recover, and my concern is bluntly, we saw very quick step down in your operating expenses. I am wondering if we see a quick step up when the accruals come back. Thank you.
Kevin Johnson: Thank you for your questions. I will take the first one and hand the second one to Robyn. On the IBM OEM agreement first of all it's important to keep in mind that we have a relationship with IBM today. IBM resells our products today. They continue to resell those products and with this OEM agreement, I think it's probably going to be late Q3 before we're actually shipping product and have that product in markets. So it would probably be Q4 at the earliest that we would see any impact of the IBM OEM relationship, part of the relationship. Longer term and I think this is about continuing to build awareness and demand in the market as we get more design wins like the New York Stock Exchange, it's those types of things that I think is going to fuel more of the demand for growth and so for the IBM OEM thing I think it will just be a continued ramp with our Enterprise business as it grows and for purposes of Q3, I think it's going to be late Q3 before anything ship. So the first time we would see at least some start of revenue flow on that would be in Q4.
Robyn Denholm: Simona, in terms of the operating expense and the variable bonuses, so as I said in the prepared remarks, we will continue to manage our increases in total expenses and variable expenses when revenue growth does resume year-over-year. So and just to clarify in the bonuses, that is on a revenue growth on a year-over-year basis. So but our fundamental principle is, just as we have been very disciplined in our approach in operating expenses as revenue has come down year-over-year, we will also maintain that focus when revenue growth starts to come back.
Operator: The next question is from Bill Choi with Jefferies. Please state your question.
Bill Choi – Jefferies: Thanks. Did you give out an employee total headcount at the end of the quarter? Can you start with that please?
Robyn Denholm: Yes, the employee headcount was 7,020 a net increase of 45.
Bill Choi – Jefferies: I want to get a sense of the kind of investment that might need to be made into your business, less R&D related, perhaps more on the kind of sales coverage overall. You have in front of you some really good opportunity, certainly helping carriers transition to next trend networks. To me that sounds like you might need to really build up some consulting staffing there to control the discussions and ultimately win products, sales, and also on the Enterprise, great momentum, but you were on the process of building out that sales port before the economy slowdown so just trying to get your sense for where we are in the need to build up these things, these organizations and how you might use cash to seek these growth opportunities perhaps on a more step function way.
Kevin Johnson: Thanks for your questions, Bill. Let me just start with service providers. We have a fairly capable sales force today in the service providers segment. I think we're calling directly on the top 200 service providers and I think as we outlined them certainly we expanded the breadth of service providers in that reach. And as we work to increase the depth of relationship with those service providers certainly there is some incremental resource but it's not a linear thing with revenue. So, in some ways, I think there is certainly some investment that we would make on the service provider side and as you point out maybe there are some things to help consult or help architect or do more of that, which, which we have as a principle around customer satisfaction continued to invest in through this downturn. I think as Robyn mentioned our headcount increases were in the areas of R&D and customer satisfaction, so much of that focus has been maintaining those relationships and ensuring that our customers are very satisfied and we would continue with those principles going forward. On the Enterprise side, I think certainly as we scale, there is an opportunity to say how much field sales resource do we need to secure, what I will call light house wins, how do we get the big design wins that, that basically create a light house for other customers to look and see what's possible with kind of our vision for network data centers of the future. And as we do that that creates a significant amount of demand from a number of other customers. And that's where having good partnerships with companies like IBM and our J-Partners they are able to engage and help fulfill much of that demand. And so certainly there will be some increases in investment on the Enterprise side but in doing that I actually think we start to reduce the sales cost as a percentage of revenue on the Enterprise by achieving scale. And in both cases if we execute well on that it supports the principle of growing the operating margin as we scale the company.
Operator: The next question is from Brent Bracelin from Pacific Crest. Please state your question.
Brent Bracelin – Pacific Crest: Thank you. I actually had a follow-up question on the Enterprise I apologize but I guess it's still little unclear to me as we look at earnings season here how much of the rebound Enterprise is kind of an industry rebound versus company specific kind of share-gain factors, specific question, how much of the Enterprise strength would you attribute to share gains versus industry, factors versus large deals versus improving sales execution, how should we think about that magnitude of the rebound that you guys saw on the Enterprise side and as you scrub those numbers?
Kevin Johnson: Yes, thanks for the question, Brent. I will comment on that. First of all, IT spending in the Enterprise, our view is that will have a longer recovery than the capital spend and service provider. So, we believe that service provider capital spend will uptick certainly much faster than the IT spending in Enterprise. And the view is every industry vertical will recover, have spending patterns that vary. And if you look at past recessions that's always been the case, financial services has a certain pattern, retail has a certain pattern, health care has a certain pattern, government has a certain pattern. And so you look at IT spend, it's going to in my view be sort of a long slow recovery on the IT spend side in the Enterprise. The fact that we have as a new entrant into a large market of switches and a complete portfolio across switching routing and security combined with a value proposition of lower total cost of ownership that I think makes us very relevant and puts us in a position to take market share. And I think that, that holds true. Because of that I think we're in an opportunity where we can significantly outgrow the recovery of IT spending in the Enterprise because we are such a new entrant, we have so much upside there. And so I think that is the biggest factor in this. Now when it comes to improved execution, I think we have seen significant improvement in our Enterprise execution in the U.S. And not as much outside the U.S. and a big part of that was the strategy that we had to really model something we called connected sales and marketing in a new way of how we generate demand, fulfill demand and drive that execution in the U.S. And our opportunity is to take that now and start to propagate that rest of world. So I think to combine strength of our value proposition with now a proven model on how we can drive that growth, taking that globally, I think those two things, mean that I think we're positioned to outgrow IT spend recovery, but that would be how I frame that, Brent, from an Enterprise standpoint.
Operator: Next question is from Michael Janedis [ph] with Soleil Securities. Please go ahead with your question.
Michael Janedis – Soleil Securities: Hi, great. Thanks a lot. First thing is I think last quarter you gave us an indication of the EX number revenue in the quarter. I didn't hear that so I was wondering if you could maybe repeat that. And then secondly, when you look at the market share numbers in Edge routing, IP and Ethernet, Alcatel continues to do extremely well and continues to gain traction there. I'm just wondering if you've seen anything changing in the competitive environment relative to Edge routing, relative to Alcatel. Do they seem to be tougher, are they competing on price, is it their products, anything notable going on there? Thanks.
Kevin Johnson: Yes, thanks for your questions, Michael. First of all, the answer to your question on the EX I think last quarter it was 30 million, this quarter its $43 million on the EX of revenue. And as I mentioned we released the EX8216 and EX2500 so we strengthened the product portfolio on the switch side. And second question, Alcatel-Lucent competition. If you look at through 2008 before the economic downturn, I think the numbers, most numbers that analysts would report showed us gaining share in core and edge routing. Since the economic downturn my view is we have been fundamentally holding share. There are some places where maybe there is a little slight uptick, slight downtick, but for the most part we have been flattish on share. I do think you see competitors like Alcatel-Lucent has been doing well. The share numbers that I have looked at kind of show that they have been taking share primarily from Cisco but certainly it's a competitive environment. And our approach we have to win based on the value of the innovation that we deliver and how that value translates to customer value and being able to handle the world's most highest needs of scale, reliability, performance, means that we can help customers carry their traffic at the lowest cost per bit. And with technology like the (inaudible) services Edge and programmable services on top of JUNOS they can build new services and increase their revenue per bit. And that's our strategy. And I think we've got a compelling value proposition. But clearly your point is taken. There is a lot of competition out there.
Operator: We have time for two more questions. The next question is from John Marchetti with Cowen and Company. Please state your question.
John Marchetti – Cowen and Company: Thanks. Kevin, I was wondering if you could just spend a second and kind of take us through what you're seeing maybe by the different geographies in terms of service provider and Enterprise. I know you talked about better visibility into some of the plans for builds but not really better visibility into orders. Just curious if you could maybe comment on how that's different by geography? And then Robyn, you went through some of the different line items, if you will, that are under the variable and structural costs changes that you have been doing. Can you give us a sense maybe just on a percent basis how much of it is, is a variable comp and how much of it is more structural in nature? Thank you.
Kevin Johnson: Yes, thanks for your question, John. I think let's see. I will start with Asia-Pacific. I think generally, in Asia-Pacific, they were down slightly this quarter and much of that was anticipated. There is seasonality in Japan that affected us. We were strong in China. But overall in the service provider side we were down slightly, and Enterprise, I think the place that we performed the best in Enterprise was in the U.S. And so Enterprise was flattish in Asia-Pacific. And that highlights an opportunity for us to take our execution model and drive improved execution on the Enterprise side. In Europe, I think we saw some improvements on the service provider side. We were up slightly in Europe. And that's in AMEA and that's a good sign because, frankly, I think capital spending from service providers was tough this quarter in AMEA and we actually grew, had a better quarter in AMEA. Our Enterprise execution in AMEA was not as good as the U.S. so they didn't perform quite as well, but I think they are were up slightly as well on the Enterprise side. So in the U.S. Enterprise performed very well and service providers I think was relatively flattish. So you put that all together and service provider was down by about a point quarter-on-quarter, Enterprise was up about 12 points giving us about a 3% sequential growth. I do believe that our ability to drive good predictable results on the Enterprise side remains intact and I think the question that people want to know is when will this uptick occur, on the service provider side and because we see better visibility to projects, but not improved ability to predict that revenue, we're not calling that at this point.
Operator: Next question is from Brian Modoff with Deutsche Bank.
Vijay Bhagwat – Deutsche Bank: Yes, hi, this is Vijay Bhagwat [ph] calling on behalf of Brian. Hi, Kevin. Hi, Robyn.
Kevin Johnson: Hi, Vijay.
Vijay Bhagwat – Deutsche Bank: Just two questions if it is okay. First is kind of just drilling down into the makeshift that happened in the quarter. How much of that was due to share lost potentially to Cisco or to an Alcatel-Lucent just downtick in spending and follow-up is in terms of ramping up Enterprise market share through your partners kind of give us an idea of what target do you have in terms of any rough market share expectation for next year or the year beyond so that we get an idea of how do you wish to ramp that business?
Kevin Johnson: Go ahead. Robyn, maybe you take the first one on mix and I will take the second one.
Robyn Denholm: Yes, so, in terms of mix, we talked about two types of mix there. We talked about the total product mix and we saw improving relative to the first quarter mix of E and MX and a slight decline in T actually in terms of quarter over quarter mix and we saw a higher mix of chassis overall than we did see line cards or pix and that's across the portfolio. And then of course we also saw an increase in the EX mix of the total revenue. So that was sort of the mix factors that we outlined.
Kevin Johnson: Yes on your second question of Enterprise market share, we haven't put some stake in the ground that says we are going to be at X% share in the Enterprise by a certain date. But what we have said is that fundamentally our long-term operating model is one that we expect revenue to grow 20 plus % top line while we expand operating margins. In order to grow 20% plus top line clearly our Enterprise business has got to be growing above that and kicking in significant amount of our growth on a year-on-year basis. In order to do that we got to do exactly what we're doing which is strengthening the product portfolio and you seen us continue to fund R&D and come out with a portfolio of products. Secure some visible design wins that demonstrate our value proposition of high performance networking, lower total cost of ownership and choice and flexibility. We're doing exactly that. And strengthening the partnerships with our J-Partners and large partners like IBM, it strengthened us in the way of giving us more routes to market. Those things will enable us to achieve scale in the Enterprise. How long will that take I don't know but that's our opportunity and that's where we got to stay focused.
Kathleen Bela: Okay that is all the time we have this afternoon. I like to thank everyone for joining us today and we look forward to talking with you again next quarter. Thank you.
Operator: This concludes our teleconference. You may disconnect your lines. Thank you for your participation.